Operator: Good afternoon and welcome to Open Lending's Second Quarter 2020 Earnings Conference Call. As a reminder, today's conference call is being recorded. On the call today are John Flynn, President and CEO, and Ross Jessup, CFO and COO. Earlier today, the company distributed its second quarter 2020 earnings release to its Investor Relations website. In the release, you will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. Before we begin, I'd like to remind you that this call may contain estimates and other forward-looking statements that represent the company's view as of today, August 11th, 2020. Open Lending claims any obligation to update these statements to reflect future events or circumstances. Please refer to today's earnings release in our filings with the SEC for information concerning factors that could cause actual results to differ materially from those expressed or implied by such statements. And now John, I'll pass it over to you for opening remarks. Please go ahead.
John Flynn: Thank you, operator. Good afternoon everyone. Thank you for joining us for our first earnings call as a public company to discuss our second quarter of 2020 results. We're very encouraged by our results in the quarter, which were ahead of the revised guidance for 2020 that we announced in May. During the second quarter, we certified 18,684 loans, which was 39% ahead of the midpoint of our revised guidance. We also reported revenue of $22.1 million and adjusted EBITDA of $15.4 million. Ross is going to go over the second quarter results in more detail in a few minutes. But since many of you may not be familiar with the Open Lending story, I wanted to start by briefly reviewing our unique business model and our growth strategies. What Open Lending is is a unique lending enablement platform for the auto finance market, which is powered by over 15 years of proprietary data. We have advanced decisioning analytics, an innovative insurance structure, and a very scaled distribution. At its core, Open Lending helps lenders, specifically credit unions, banks, and OEMs increased their near prime auto volumes and their yield, while taking no balance sheet risk. Open Lending's technology platform unlocks the value for a whole ecosystem of stakeholders, including dealers, lenders, insurers, OEMs, and ultimately the consumer. Traditionally, the near prime consumer, which we define as consumers with FICO scores between 560 and 699 typically cannot obtain loans from prime lenders. As a result, these near prime consumers often get credit from a subprime focused lender that comes with higher interest rates, and lower approval amounts than what is appropriate for their credit standing. Near prime auto lending market represents a tremendous opportunity of approximately $250 billion worth of loans originated each year. Through our flagship product Lenders Protection, we provide a broader range of lenders with the ability to serve this massive underserved consumer base. So far, we've only penetrated less than 1% of this market. So, there's substantial room for growth. Open Lending operates as a B2B2C model where we serve the lender, who in turn serves the consumer. Our proprietary cloud-based software platform makes customers, individual loans, portfolios, and loan origination systems, which are referred to as LOS platforms. Our customers are responsible for all the interaction with the consumer during the loan origination, and they're responsible for all loan servicing. We currently have over 300 active customers, of which we added 28 in the first six months of 2020. And we're integrated with over 20 loan origination systems, which covers the vast majority of the LOS market. This embeds us into the lenders' workflow, and then it's what enables our five second decisioning, creating a significant barrier to entry. On average, we make approximately $1,160 per loan without taking any balance sheet risk. The model allows us to operate with no consumer acquisition cost or distribution costs, resulting in our strong margins and our ability to scale profitably. As I mentioned previously, Open Lending brings together the various players in the auto ecosystem, offering a very compelling value proposition to the lenders, to our exclusive insurance carrier partners, dealers, and the consumer, which is the ultimate beneficiary in the value chain. There's a number of competitive advantages to our model. One, our sophisticated technology platform, which allows us to make underwriting decisions in less than five seconds. Another one would be our proprietary data, which includes 15 years of proprietary loan data across 2 million different unique risk profiles and provide 99.1% default predictability. Our exclusive insurance carrier relationships with highly rate of insurance partners, our lender relationships and integration with 20 plus LOSs, and we have an incredibly proven success in a highly regulated industry. I think the vast majority of our growth is attributable to our existing lenders that are already on the platform, but is witnessed by over 115% net retention in 2019. Lenders Protection continues to help lenders make more loans, retain members with attractive loan offerings, and increase profitability in the near prime auto space. Just over the past few months, we've announced larger credit unions that have partnered with us, including GreenState Credit Union, which is Iowa's largest credit union with $6.7 billion in assets. We signed us Eagle Federal Credit Union, which is a $1.1 billion institution based in Albuquerque, New Mexico, and Clark County Credit Union, which is a $850 million institution based in Nevada. I also wanted to highlight that a few weeks ago, we were also named a winner of NAFCU Services 2020 Innovation Award. NAFCU is the National Association of Federally Insured Credit Unions and this Innovation Award is an annual program that honors the transformational and valuable contributions to the credit union industry. The winners are selected by a panel of top executives and members of the media based on the degree of innovation and impact on credit union success. While our core business of helping credit unions and banks make more auto loans continues to grow strongly, we also see numerous other areas for growth. One of those areas is the OEM captive market. We currently serve two different OEM captives, which we expect to continue to ramp and they'll be a key driver of our growth. The OEM captive market is substantial, with a TAM of more than $1 billion in annual revenue. The OEM captive certifications are strong in the first quarter demonstrates tremendous growth prior to the COVID-19. We've also seen positive momentum with OEM number one, as in mid-April, we expanded to all their dealerships nationwide. This nationwide expansion has manifested itself in certification growth of nearly 250% from April to July and we're currently seeing applications from over 80% of their nationwide dealerships. Continual discussions and analysis are underway to broaden the utilization of Lenders Protection with OEM as well and we currently servicing customers with 560 to 690 credit scores, but they're also looking to expand that, that credit spectrum north to 679. They're also interested in our technology enhancements for subvention that are underway with OEM number two, and as soon as it's ready, they want to explore this as well. And for those of you that might not be familiar with subvention, that's where the manufacturer provides cash to the dealers to be able to lower the interest rate and get consumers into a better interest rate loan. We're in the process of figuring out how to build that technology that will incorporate that excess cash bringing the rate down without us having to incorporate it into the contract rate. Another thing is as a result of the market turbulence from COVID, OEM number two, withdrew its capital from near prime lending, which resulted in materially lowering certifications over the past few months. We are anticipating that they will return to the near prime market in the fourth quarter, given that they are also continuing to work with us on the technology such as subvention capabilities. With the addition of subvention, we do believe the future certification opportunity with OEM number two is going to be larger than previously anticipated. Specifically, the work the technology and the finance teams are working on with OEM number two on a subvention will allow us to help them finance new vehicles through the program, which triples our potential opportunity with that OEM. We're also working to add multiple OEM opportunities that are in our pipeline and some of those could launch as early as 2021. Another important feature to Lenders Protection is the future ability to provide banks and OEMs with CECL relief, which CECL stands for current expected credit losses, the new regulation that the majority of banks and any lending source has to comply with this calendar year. A few of our largest customers have had numerous conversations with the SEC. And what they've been told is that with slight modifications to our insurance program policy, they would be able to receive CECL relief, where future claim recoveries could be factored into that CECL calculation. We're actually working with our actuaries and our insurance partners to assess the modifications and we hope to implement them quickly to unlock this additional value for all of our customers. In the near-term, we also plan to expand our lender -- expand our lender and capital basis, as well as launch into new channels. And longer term, we expect to broaden our offering into adjacent asset classes, such as leases and to establish a broader auto lending platform to make our risk decisioning available to our clients, even beyond that near prime sector. And then lastly, we see substantial opportunity in penetrating new geographies and other consumer asset classes. Coming back to our recent performance, although, COVID-19 pandemic rapidly did change the world, the economy, and specifically, the auto dealership industry during the second quarter. As we mentioned previously, we saw positive trends in our certification volumes in the second half of April and we saw those positive trends continue throughout the remainder of the second quarter. We believe these trends are driven by the low interest rate environment, the demand for used cars, and commuters shifting away from public modes of transportation. According to a recent study that we saw from J.D. Powers, wholesale vehicle values have recovered from their lows in mid-April, and the weekly wholesale auction price index is back to pre-COVID levels. So, our lending partners, especially credit unions, have been very resilient and continue to utilize our platform. We also swiftly adjusted our business in response to the challenged economic environment. We implemented changes to our underwriting model, which largely took effect in April and tightened our underwriting standards and increased our premiums. We also enhanced our focus on a refinance program to drive additional certified loan volume. This opportunity is with near prime consumers, and what it does is allow them to lock in a lower rate. Particularly in these times, helping that average consumers save money is extremely important to us. This can be completed 100% virtually and it’s a unique value proposition for non-auto lenders. In the second quarter alone, we partnered with 17 new refinance lenders. While this pandemic has had an impact on our business, our model is resilient through tough economic times, which is proven in our results year-to-date. During the Great Recession of 2007-2009, we saw an increase in near prime borrowers and a greater demand for default insurance, which is similar to what we've been seeing over the past few months. As a reminder, our focus is on the used car market and a low cost of capital lending partners is a key competitive advantage that is more relevant ever than before. Insurers have been modestly impacted relative to other industries and are currently anticipating profitability through 2020. Most of our credit union and bank lender customers are very well-capitalized and expected to have ample liquidity through this time. Unique to this time, we do believe there's significant growth opportunity, due to the anticipated pent up demand and the enhanced focus on private modes of transportation resulting from health concerns. We're hearing that most people don't want to be using rideshare and public transportation given the health concerns that are out there today. Low rates and dealer incentives may cause lenders to seek higher yielding auto loans, while taking steps to mitigate their credit risk. And finally, the macroeconomic instability combined with FICO 10 rebalancing of credit scores could potentially enlarge the near prime consumer universe, thereby potentially increasing the size of our TAM. And then finally, I want to discuss our business combination with Nebula Acquisition Corporation. On June 10th, we completed that combination and our common stock began trading on the NASDAQ stock market under the ticker symbol, LPRO, which stands for LenPro [ph] on June 11th, 2020. This combination allows Open Lending to execute on its growth plans, as well as to explore other substantial adjacent market opportunities that are attainable for the business. I'm really excited to work alongside our outstanding management team who has really helped us grow this company to where it is today, as well as our new Board of Directors who bring extensive experience and insight as we continue to execute on Open Lending's growth plan as a public company. With that, I want to turn us over to Ross and take us through the other highlights.
Ross Jessup: Thanks John. Good afternoon, everyone. I wanted to spend a few minutes talking about our revenue and pricing model, as well as our revenue recognition under U.S. GAAP for our profits here, and the difference between cash and GAAP before diving into the details on the second quarter results. On average, we generate revenue of approximately 5% of the balance of each loan originated. Our revenue is comprised of three streams, program fees paid by the automotive lenders for the use of our Lenders Protection Program, which I refer to as LPP; two, underwrite loans, administration fees paid by our insurers for claims administration services, and profit sharing from insurers providing credit default insurance protection to automotive lenders. The first two streams provide a fee-based revenue for the loans processed through LPP and the third stream is based off the underwriting profit share over the term of the loan. Nearly 70% of the expected revenue is collected in the first 12 months after loan origination with the balance comprised of administration fees and underwriting profit share that are realized over the remaining life of the loan. As it relates to the profit share per ASC 606, we recognize the full profit share upfront in the month the loan is certified and generally collect one half of this in cash in year one and approximately 70% by the end of year two. As John mentioned earlier, we generate $1,160 in revenue per loan average from these three revenue streams. We adopted ASC 606 in January of 2019 per U.S. GAAP. As I mentioned, our profit sharing is recognized upfront as we fulfill a performance obligation under the placement of insurance, at which point, we are entitled to the profit share for all future net premiums earned. To determine the profit share revenue we use forecasts of loan level, earned premium, and insurance claims. These forecasts are driven by the projection of loan defaults, prepayments, and severity rates. To the extent, these assumptions change, our profit share revenue is adjusted prospectively based off of our revised estimates. Now, moving on to our Q2 results. We facilitated 18,684 certified loans, and 11 new contracts were executed with lenders during the three months ended June 30th. In addition, we have 12 active implementations with go live dates in the next 60 days, which is projected to produce approximately 4,000 certified loans annually once implemented. Total revenue for the quarter was $22.1 million with profit share making up $12.2 million, program fees $8.8 million, and $1.1 million in claims administration fees. Gross profit was $20.2 million for the quarter, a decrease of 12% through the lower levels of loan certified in Q2 of 2020 compared to the same quarter 2019 due to the impact of COVID-19 pandemic. General administration expenses were $14.6 million in the second quarter compared to $3.3 million in the previous year quarter. The increase is due to $9.1 million in transaction bonuses awarded to key employees and Directors in connection with the business combination and $2.2 million of non-cash charges in connection with the accelerated vesting of legacy share-based compensation awards as a result of the business combination. Excluding these transactions and related costs, general administrative expenses would have been flat to the previous year quarter. In the short-term, we do expect to experience an increase in our G&A expenses as we implement the internal control compliance procedures required of public companies. Operating income for the quarter decreased $13.6 million as compared to the second quarter 2019, primarily due to the previously mentioned transaction costs. As a result, operating margins decreased from 69% for the second quarter of 2019 to 17% for the second quarter of 2020. Net loss for the second quarter of 2020 was $49.8 million compared to $17.5 million net income in the second quarter of 2019. We had approximately $60 million and expenses in the quarter that directly impacted our results that were associated with the business combination. These costs include a $48.8 million non-cash charge as a result of the change in the fair value of the contingent consideration earnout shares which are accounted for as a liability awards. As of August 10th, the share price performance milestones have been achieved on all three of the continuing consideration awards. So, beginning Q4 of 2020 and beyond, net income will not be burdened by any chart -- changes to the value of the continued consideration on awards. The remaining $11.3 million of the $60 million was transaction bonuses paid to key employees and Directors and the accelerated vesting of share-based compensation under the legacy plan that I discussed earlier. So, let me turn to adjusted EBITDA, which excludes these significant charges directly associated with a business combination. A reconciliation from GAAP to non-GAAP financial measures can be found at the back of the press release. Adjusted EBITDA for the second quarter of 2020 was $15.4 million, compared to $18.1 million in the second quarter of 2019. The a decrease in adjusted EBITDA quarter-over-quarter is primarily due to the lower level of certified loans as a result of COVID-19 and the overall impact of the U.S. economy. We exited the quarter with $187 million in total assets, of which $26.3 million was unrestricted cash. Also wanted to briefly give you an update on our share count. We have a total of approximately $100.2 million diluted shares outstanding as of August 10th. We posted an updated investor presentation to our site, which has a slide that lays out our fully diluted share count. Now, moving on through our guidance for 2020. Based on our second quarter results and performance in July, we remain confident in our previously issued 2020 guidance range. We continue to expect total search to be between $85,000 and 101,000; total revenue to be between $89 million and $108 million; adjusted EBITDA to be between $54 million and $70 million; and adjusted operating cash flow to be between $34 million and $41 million. Our team is continuously evaluating the macro economic climate and we still feel confident in our previously provided 2021 guidance. As the business continues to rebound from April lows, we look forward to sharing a more meaningful forecast update early next year. With that, I turn the call back over to the operator for Q&A. operator?
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Our first question today is coming from Ashish Sabadra from Deutsche Bank. Your line is now live.
Ashish Sabadra: Congrats. Congrats on this good quarter and thanks for providing color on the OEM opportunities. I wanted to focus on the OEM opportunity in particular. So, on OEM one, you mentioned, the nationwide rollout and significant growth that you've seen. As we think about -- as this -- as it expands from 80% to 100% and also expands the score, how should we think about the opportunity on the OEM one side? And then on the OEM two side, can you just give us any color on how do we -- how should we think about the opportunity with OEM two, as well? Thanks.
John Flynn: You bet. Thanks Ashish. On OEM number one, we were really pleased that we decided to expand nationwide, and basically they have about at 1,838 dealerships. And I think our last -- look they've got into 80% of them already. Our volume in April, compared to July is basically, July is about 250% of that. And that's within the credit score range of 560 to 619. They just confirmed with us that they plan to expand beginning in September, and a pilot for three months. We're basically in one of their geographic areas are going to expand to a 620 to 679. So that additional application will be coming our way and then targeted in December to expand to the rest of the nation with a similar credit tears. As it relates to volume, we think that if you compare that to where they were in July, we keep looking at two to three times that level with this expansion, so we're very pleased with where they are forecast. They're devoted to it. Your question about OEM number two, and the rollout is, we've been working hand in hand with them on the technology to get subvention ready. We have ongoing weekly meetings. We're in the QA phase of that. And so the first part is getting our technology ready. So when they give us the green light, we will be ready for that. The second part is we're working with our insurance carriers and an OEM number two to make sure that our insurance product is compliant with the SEC and the GAAP requirements that are necessary from the CECL standpoint, and we're very pleased with that progress. And believe we'll have some good news to report here shortly in that regards. As for the expansion, I think all that is targeted later on this year and more to come on that.
Ashish Sabadra: That's great. And would you be able to size that opportunity like in terms of certs, annual certs, if OEM number two were to go live? Like, what is the opportunity that we're talking about?
John Flynn: I mean, I think the annual kind of cert from what OEM number two would be, would be somewhere in the 100,000 range from when subvention is ready, as well as expanding back into their non-branded arm.
Ross Jessup: That's the model for 10,000 to 12,000 searches a month.
John Flynn: That's right.
Ashish Sabadra: That's great. That's great. And then you talked about having conversation with multiple OEMs with them going live as early as 2021. I was just wondering if you could provide any color on the conversations or are you doing any kind of data study for any of the OEMs just any color on that front.
John Flynn: Well, great question. Yeah, we continue to make great progress there. I think they all seem to know what others are doing. So our successes that we're having with OEM number one and two, definitely are kind of leading the charge with the other large OEM here in the country where, as we speak, receiving their data from compliance, so we can do our study and hopefully deliver those results back. But we have the -- our team has multiple conversations with three or four of the other OEMs.
Ashish Sabadra: That's great. And maybe one final question for me, just on the refinance side. You've highlighted 17 new refinance lenders. How do we think about the refinance opportunity going forward? Thanks.
Ross Jessup: Well, what we've been finding is we've met with -- in addition to the lenders we brought to the table, we're now doing business with between five and seven different refinance channel partners. They're the ones providing the application. Last time, we talked with all of them they tell us there's upwards of 100,000 apps a month, falling through the cracks that they're not finding homes for. So, by us bringing these funders to the table, and we believe that there's a significant lift that we're going to be able to help these consumers get out of these high interest rate loans and into something that's a lot more affordable for them. We see that we're taking rates from as high as the low-20s to 11.5% interest rates, saving the consumer anywhere from $300 to $400 a month. So, we think there's going to be a significant lift. We've seen a number of our job financing sources that we brought on just in the last two to three months, increased their volume with us by upwards of 200 certification each month from some of them.
Ashish Sabadra: That that's great color and congrats once again on the strong quarter. Thanks.
John Flynn: Thank you.
Ross Jessup: Thanks. Appreciate it.
Operator: Thank you. Our next question today is coming from Joseph Vafi from Canaccord. Your line is now live.
Joseph Vafi: Hey, John and Ross. Good afternoon and congrats on getting to your first earnings call. I hope you're enjoying it so far. But good results. I just wanted to dive in a little bit more on the LPP and predictive accuracy. I know that's really I think the key selling point that if predictive accuracy at over 99% on default rates, is there been any change or have you learned anything during this pandemic relative to that predictive capability? Or is it kind of just holding steady in that range?
John Flynn: Yeah. Hey, Joe. It has been holding say we originally thought when we forecasted our Q2 coming into that, that we would have to make some adjustments to our portfolio coming into the year where we had increases of defaults on top of what our models were. And what we saw that even through this past month, our claims activity here are still well below where we thought they would we would be when we revise those estimates. So as we started out, our prediction was basically we were predicting about 1% more claims than actually we've experienced. Well through July we've actually predicted about 2.1% more claims, which means that there are fewer claims coming in and we're actually seeing. And -- but we do know that we will reverse here. We predicted that we will reverse starting in the third quarter and fourth quarter and then normalize thereafter and it seems like the trends are just spot on from where I revised 606 guidance was last quarter.
Joseph Vafi: Okay. That's helpful. And then secondly, just trying to frame the opportunity in CECL because it's a separate benefit for the lenders on top of being able to assess risk. And if you look at maybe some of the bigger lenders, maybe an OEM finance arm or something, I guess the first part of the question is, could you extend the LPP into prime loans, even just for the sake of providing CECL relief? And if you looked at a balance sheet of a larger lender, or a lot more of your larger customers, how much theoretically could providing CECL relief, really extend their balance sheet out if it was kind of fully implemented?
John Flynn: Yeah, that's funny you asked that, Joe. I appreciate the question because some of our large lenders are actually reaching out asking us to do just that because of the predictability. So we're actually in the process right now of gathering data from our largest credit union. I was in there last Friday. They want us to make sure that we can build into the technology that would interface with their FICO LOS system. The ability to help them price their prime loans, carving out the piece that would be profit to the insurance company, and tell them what they need to set aside as a reserve and build it into the interest rate. We've heard from some of our second and third tiers shops locally here, that they think there's upwards of 50,000 apps a month just on the auto side that we can help them price with that type of technology. So, it's certainly something that's on our short term list of priorities after we get the second or third OEM and the second or third insurance carrier up and running. We're getting a lot of requests from our clients to do that. So it's certainly at the top of our list of things to do. And I think it could be very profitable for us.
Ross Jessup: Also I look at it Joe's as an acceleration opportunity like for those -- when we have this nailed down and we're in there talking to a new prospect. I mean, it's really just an opportunity calls last for them to wait. If we can we can have this in our quiver to go in there, there's really no reason they shouldn't say yes, and allow us to go forth from a sales standpoint.
John Flynn: And one thing I'd add to that Joe, which I didn't mention, too is. We've always touted the fact that we're not just a technology company and the provider of insurance, but one of the key assets we hold here is data. And every one of these large shops are willing to give us all of their performance data to be able to model that out in our technology, but just again creates a huge data Vault for us. Now the fact that we can get five or six year worth of prime performance from the different funding sources we have, I think really just adds to the value of what we bring to the table.
Joseph Vafi: That's really exciting. And then, just finally here, there's just kind of the cadence of the business and how it works. I mean, I think -- I think you mentioned that you signed 11 new contracts in the quarter, and that you've got 12 implementations with go live dates. Just wondering, if you could kind of just explain that kind of timing to from contract execution, to getting the implementation ready and to get to go live just to understand how that lead time works and what it provides for your visibility? Thanks a lot.
John Flynn: We appreciate it. And one of the things we do when we do decide to bring on an account as we do a pretty much the data study like we're doing for these OEMs to identify what lift we can actually do provide them. And obviously, if you can provide a much bigger lift than first, then you can for a smaller shop, they're a little bit quicker to react and sign contracts. Normally, from the contract signing to going live, we've got the implementation timelines down to as little as six weeks. As that's -- if the interface is in place. And you've probably read on some of these releases, we've done -- we've got upwards of 20 different LOS interfaces in place today. If they're in place, that's a simple switch that we turned to get the trigger set up, yeah, but I would say, six weeks on the short side, it might take up to eight weeks if -- if they drag their feet, some of it's driven by their time. We can get it done with five different one hour phone calls there are normally scheduled one to two weeks apart depending on their availability. And then a lot of them we can launch without ever even being on-site. So it's really a matter of them being able to pull their different departments together to get on that phone call and get the pricing set up, the different elements that we need to put in place to go live.
Joseph Vafi: Great. Thanks so much. Congratulation.
John Flynn: Thank you. Appreciate it.
Operator: Thank you. Your question is coming from Matt O'Neill from Goldman Sachs. Your line is now live. Matt, perhaps your phone is on mute.
Matt O'Neill: Apologies. There we are. Thank you guys for taking my question. Sorry about that. Can you hear me now just to be clear?
John Flynn: Yes. Sure, Matt.
Matt O'Neill: Great. Just to follow-up on the various OEM questions, and given it sounds like the pipeline continues to grow. Would you say that there's a potential here for once the first one's kind of fully up and running and others start to kind of see what you're doing that there could be a sort of a domino effect here given your place in the market, you could easily theoretically work with all of them at a point in the future. Is that -- is that ultimately the right way to think about it without getting over my keys potentially?
Ross Jessup: I think so. I mean, the ultimate goal, the captive is to serve the OEM. So, the better we can serve them and making their loans more attractive through having some venture built in our software, the more advantageous it is to have our program in place. So I don't really see a limitation coming about from that whatsoever.
Matt O'Neill: Got it.
John Flynn: Matt, I think would expand a little bit too. I think, to your point, we've seen exactly the same thing on the credit union space, that when you get one of the big ones up and running, and they have done their due diligence, if you will, you'll find that the others look at it and go, what are we missing? Why are we doing this? And we have found that to be very effective, both sides of the coin, whether it's OEMs, or credit unions.
Matt O'Neill: Yeah. That makes a lot of sense. Maybe I could -- I could turn the discussion over to the insurance side. So, currently two partners, and there's been some talk of adding a third. I was just looking for any kind of update or progress there and since last we spoke?
John Flynn: Sure. As we mentioned, probably back as early as March, we had a meeting scheduled, when COVID broke out, we do have a third carrier that's interested in what we're doing. We kind of put that meeting on hold to get through the COVID situation. We've reengaged with them, they're interested in putting a phone call on the table to start the process again. We've mentioned a few times, you have to keep the carrier's engaged by not committing a certain dollar figure of volume. But they want to know that there's going to be enough premium coming in to get them excited about it. We currently have a really long runway ahead of us as it exists today. But the two carriers we have, but as we get further down the road with -- whether it's a third or fourth OEM, we do have a third carrier that's interested in getting engaged and, meetings are being scheduled as we speak.
Ross Jessup: I think fortunately have a great actuarial firm and our insurance broker locked in at analysis has been instrumental in getting some additional meetings on setup. And we look forward to pursuing those and having, progress reports here in the near future.
Matt O'Neill: Got it. Thanks. And then, I just had maybe two quick ones, one around the pricing increase that went into place, I believe it was about 15%. Can you just kind of describe how that's being digested by the market? And then maybe just I'll close out with my follow-up just around, should we expect an adjusted EPS reconciliation either in the queue or could you help us with that?
Ross Jessup: Yeah. First on the on the contract rate question it is -- the additional increase in premium calls contract rates to go up in some places up to about, 80 to 90 basis points. We do not think that is -- that's really affected the capture rate, we think some of the other things that we did to protect ourselves during this COVID period have been very beneficial and are working as designed, like, shortening the number of days from 45 days to 30 days for an application being open. And requiring proof of income, where formerly we were not doing so. Those were prudent. So, our capture rate has gone down a little bit as designed, but I don't think it's at all, because of the increase in premium And as far as the -- yes, yeah, our adjusted EBITDA is in the press release, Matt.
Matt O'Neill: Yeah. I was just referring to an EPS figure.
Ross Jessup: No. I don't think -- I don't believe -- I don't believe that's in there, is it?
John Flynn: No, it's not in there, Matt. We will follow-up offline.
Ross Jessup: We'll follow-up on all that for sure.
Matt O'Neill: Thank you.
Operator: Thank you. Your question is coming from Mike Grondahl from Northland Securities. Your line is now live.
Mike Grondahl: Hey, good afternoon, guys, and congratulations on the progress.
John Flynn: Thank you.
Ross Jessup: Thanks Mike.
Mike Grondahl: First question -- just when you look at the credit unions you're signing up recently. Are they larger, similar in size? And then when you look across the portfolio of credit unions directionally are many of them expand the FICO Score range that they're using with that you guys are helping them with?
John Flynn: Yeah. Mike that's two great questions and the first one is just the ones that we're signing now seem to be larger. We just signed -- I think the largest credit union and -- second largest in Iowa.
Ross Jessup: That's the largest, yeah.
John Flynn: $6.7 billion in assets.
Ross Jessup: Right, right.
John Flynn: Yeah. And the other shops that we're signing on are under 1,856 million. So they're on the larger side. And along with that, we are seeing some expansion of the scores. Every time we -- the phone calls I've been on, personally with some of these accounts. You know, what they're saying is, can we bump up ours -- our FICO Scores from 620, 640 range up into the 660, 670 because we just don't know who is going to default, and who's not, who's going to have a job. So we are starting to see a little bit of expansion on the scores as well as some of the larger shops signing up.
Ross Jessup: I think some of the webinars we've done in the past and some of the -- our account managers are getting with our accounts, talking about the impact that bringing alternative data scoring into a model. And the positive effect of that, that if you're not using alternative data, then you're mispricing about two-thirds of your applications, especially if you're, you're in the near non-prime space that we're in.
Mike Grondahl: Got it. Got it. Secondly, used car sales have been really robust, used car values have been really robust. Do you worry at all about just the supply of used cars might be waning and that could inhibit sales at all or what you're doing to help credit unions? Are you seeing anything of that nature out there?
John Flynn: I'm not. I mean, what's I keep hearing about Hertz is about to put a bunch of cars out into the used car market. I mean, I'm not hearing from any of our shops that, we do business with, if there's any lack of cars out there that people are struggling to find the right one.
Ross Jessup: Yes. Certainly a lack in the new area.
John Flynn: Yeah
Ross Jessup: But not used.
Mike Grondahl: Good. Okay. Well, that's great to hear. Hey, thanks again, guys.
Ross Jessup: Thank you.
John Flynn: Thank you, Mike.
Operator: Thanks. The next question is a follow-up from Ashish Sabadra from Deutsche Bank. Your line is now live.
Ashish Sabadra: Hi. I just had a quick question, modeling question. Do you plan to provide historically there was some details around the insurance partners, annual earned premium as well as the average earned premium. I was wondering if you plan to provide that going forward or can we get that for the second quarter?
Ross Jessup: It will be in the 10-Q 
Ashish Sabadra: Okay. Okay. That's good. That's very helpful. And I was just wondering, is it possible for us -- for you to provide the OEM certs for third and fourth quarter of 2019? We have the number for the full year of 2019, but any color on the third and fourth quarter?
Ross Jessup: Yes. Our OEM, no. No. 
Ashish Sabadra: Okay, Okay. All right. Thanks. And again, congrats on a solid quarter. Thank you.
Ross Jessup: Thank you a lot.
John Flynn: Thank you.
Operator: Thank you. Our next question is from Joseph Vafi from Canaccord. Your line is now live.
Joseph Vafi: Hey, guys. Just maybe one follow-up. So, I think it's just interesting that maybe credit unions decided to jump in in the middle of the pandemic. And I think probably for some of those credit unions or near-prime, this was their first entry into it in a kind of an uncertain macro. So what was their thought process in terms of theoretically taking on more risk in their loan book given the macro by moving into a new market with potentially lower scored borrowers?
John Flynn: I think Joseph what we're finding is a lot of these shops that just recently signed out, we have been courting for some time. They've known what we've done. They've just had other things on their plate to take care of. And now all of a sudden you see this pandemic hit, you get a lot of the lenders, when you saw I think it was wells pulled out of financing, non-franchised dealers, a lot of these credit unions just started to see a lot more applications. A lot more people applying for loans. You saw a huge influx of cash. You see a lot of credit unions that are just like what happened in 2008 and 2009, when the markets are going south, all of these people want to take their money and put it in a safe place. So I think it was almost like the perfect storm for credit unions that they've got all this money flowing in the door. It's cheap capital. And they're looking for ways to put it out there. And they know we can provide that solution to help them get three times to four times the yield that they're getting on a prime loan. So I think it's just a combination of a number of things happening at the same time and them seeing a lot of press about what we've been doing as a result of everything we've put out in the markets over the last six months. There – our names out there more often than it was before.
Joseph Vafi: Okay. That's helpful. And then just I’m trying to understand a little bit the expansion of the FICO range with OEM one. It sounded like the initial range kind of dip down pretty low and that the expanded ranges is adding on kind of at the higher end of the new range or the additional range. So I'm just kind of wondering, why expanding higher and why wasn't that the original FICO range from the beginning in near-prime if that makes any sense?
Ross Jessup: You bet, Joe. That's a great question. And so believe me when we were trying to sell them, we didn't just try to sell them on the 560 to 619 scored squat. We tried to sell them typically we go to about 650. That's our normal deal. And so, I believe what's happening is a founding realized that they like our technology. They like the fact that we don't have human interaction in our underwriting. They -- that we come back in five seconds with a response that's consistent and defendable from FCRA standpoint, and that everybody with similar situated gets decisioned the same way. And so I really think what's happened is when we were originally discussing with them, I think they were -- they said they probably have about $450 per funded loan and cost for underwriting when they go through their normal process. And so now they've actually looked at what we're doing and providing this automation, and we can significantly reduce their internal costs that they used to have, and possibly reduce some of that, which is a huge benefit of it. So it is just the first pilot starts in September, it's a three-month one, unlike the first time they started with this. If you recall, they were about seven months before expanding. Now they've picked three months as a time period to evaluate it before expanding further.
John Flynn: And Joe we’ve seen this in other areas, not just with OEM number one. You get a lot of institutions to feel like they're really good at pricing down to say, 660 and above and they're only going to send you the lower tier, because that's where they're uncomfortable buying without us, which I think is what you're seeing here is they're seeing that we do a great job from take a number 620 down. Well, if we can get that safety net, from 620 up to 660, and it has very little impact on the rate to the consumer, and it's a sellable loan, why don't we just put it under same portfolio with insurance on it? But at the end of the day, if we solve the CECL requirement, that's a huge capital relief to them in that area.
Ross Jessup: Yes. So the way I read into it is they’re obviously are having great underwriting performance, good experience with what we've done with them thus far.
John Flynn: Right.
Ross Jessup: And saving money on the underwriting from a cost standpoint. So let's continue to expand and their dealers must like the quickness of that decision as opposed to what they're used to from some of these applications taking 15 to 30 minutes to underwrite and come back and pretty much that applications gone to some other lender by that time.
Joseph Vafi: Great. That's super helpful. And then I'm just going to ask one more, I'm going to throw it out there. You have to answer it. But there are a lot of other Fintech guys have been kind of talking to us about July and early August in terms of what they're kind of seeing just given how much change everybody's undergoing right now. I just wanted to know if you at least wanted to toss out some directional commentary on certs in July and maybe early August. And great results again. Thanks, guys.
Ross Jessup: Yes, I mean, I think we're very encouraged with what we're saying. I mean, we've got some momentum that we're -- that's coming into August, coming off in July. And from a origination standpoint, I can't see why there's could be any slowdown whatsoever.
Joseph Vafi: Great. Thanks. Thanks a lot.
Operator: Thank you. We reached end of our question-and-answer session. And ladies and gentlemen, that does conclude today's teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.